Operator: Greetings, and welcome to the Bloomin' Brands Fiscal First Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow management's prepared remarks. [Operator Instructions] It is now my pleasure to introduce your host, Tara Kurian, Vice President, Corporate Finance and Investor Relations. Ms. Kurian, you may begin. 
Tara Kurian: Thank you, and good morning, everyone. With me on today's call are David Deno, our Chief Executive Officer; and Michael Healy, our Chief Financial Officer and Executive Vice President. By now, you should have access to our fiscal first quarter 2024 earnings release. It can also be found on our website at www.bloominbrands.com in the Investors section.   Throughout this conference call, we will be presenting results on an adjusted basis. An explanation of our use of non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures appear in our earnings release on our website as previously described. Before we begin formal remarks, I'd like to remind everyone that part of our discussion today will include forward-looking statements, including a discussion of recent trends.   These statements are subject to numerous risks and uncertainties that could cause actual results to differ in a material way from our forward-looking statements. Some of these risks are mentioned in our earnings release. Others are discussed in our SEC filings, which are available at www.sec.gov.   During today's call, we'll provide a brief recap of our financial performance for the first fiscal quarter 2024, an overview of company highlights and current thoughts on fiscal 2024 guidance. Once we've completed these remarks, we'll open the call up for questions. With that, I would like to now turn the call over to David Deno. 
David Deno: Well, thank you, Tara, and welcome to everyone listening today. As noted in this morning's earnings release, adjusted Q1 2024 diluted earnings per share was $0.70, and U.S. comparable sales were down 160 basis points. These outcomes were within our expectations and represent a solid start to 2024. The industry backdrop remained more challenging than expected after the weather-related impact in January.   Despite this headwind, we consistently outperformed the industry on both sales and traffic. Combined U.S. comparable sales were 230 basis points better than the industry sales during the quarter as measured by Black Box. Importantly, during Q1, we saw sequential improvement in our performance. And for the quarter, we outperformed the industry. Our top line performance was driven by Outback and Carrabba's.   Driving same-store sales growth and improving traffic at Outback remains our #1 priority. As we discussed on our last call, we have done a significant amount of work on our customer. We are well underway in further improving our marketing and guest experience and leveraging our technology. Having said that, we have more to do. The work thus far is contributing to our market share gains.   Our goal is to have best-in-class operations. We will continue to focus on delivering a differentiated guest experience through improved service and consistently great food. All of our technology and equipment investments such as new grills and server handheld have been rolled out and now our job is to leverage these investments.   As we discussed last quarter, all of this work has significantly improved our internal customer measures. A couple of key leading indicators we track are stake accuracy and consistency of experience. Over the last year, stake accuracy is up 500 basis points, and consensus of experience is up 400 basis points. This was further validated by casual dining industry metrics, which have continued to improve. Friendly service and food quality are now 370 and 240 basis points ahead of our casual dining peers, respectively.   We are very confident that our strategy at Outback is working. We are seeing improved sales and traffic at Outback. Outback sales outperformed the industry by 270 basis points in the first quarter and beat the industry in 20 of the last 22 weeks. Importantly, traffic has been the key driver of this sales momentum. Outback traffic beat the industry 240 basis points on average over the last 2 months of the quarter. Michael will talk to full year and second quarter guidance shortly, but most importantly, we expect second quarter sales at Outback to be positive, and we expect Outback to continue to outperform the industry during the quarter.   We feel very good about OpEx performance and the direction of the brand, and we are in a state of continuous improvement. All of our future enhancements will be grounded in the no rules just right philosophy and will stay true to the irreverent and adventurous spirit of the Outback brand.   As mentioned on prior calls, we are putting more marketing dollars behind these great ideas to improve our share of voice in a highly competitive market. Our multichannel advertising strategy leverages analytics to ensure strong returns and maximizes our ability to connect with our customers. Specifically, since the holiday season last year, we've had 3 strong limited time offers at successful price points that have resonated with our guests.   We offered the steak month LTO in Q4 followed by the 3-course offering in the spring and now back by popular demand, steak and lobster. These steak centered LTOs are differentiated offerings that can only be found at Outback and represent a great value to our guests. We are equally confident in our marketing calendar in the back half of the year. We are focusing on delivering the right balance between traffic-driving LTOs, while still providing a great return for the company.   Now on to some of our other priorities. During 2024, we will continue to make investments to upgrade our assets through new openings, relocating and remodeling restaurants. We expect to remodel 60 to 65 restaurants and open 40 to 45 new restaurants system-wide this year. 15 to 17 of these new restaurants will open in the United States. We know that upgrading our assets is a big part of improving our traffic trends, especially at Outback. In addition, we are seeing very good returns from our new restaurants and relocations, and we have a robust pipeline.   The last priority I'll discuss today is our leading off-premises channel. This business has more than doubled since 2019 and currently represents 23% of our U.S. sales. We need to continue to pursue our off-premises business and grow in restaurant sales. We are pioneers in this to go space, and we continue to see strong demand in this highly incremental occasion.   In addition, the success of our catering business at all of our brands, but particularly at Carrabba's, provides a runway for future growth. Importantly, the sales initiatives I have described are supported by a solid foundation of robust cash flow and a strong balance sheet. This gives us the ability to invest in our marketing and operations initiatives, our technology plans and asset improvements. These efforts are helping us build a strong business that will thrive for many years to come.   I want to stress the first quarter results and all the initiatives that I laid out would not have been possible without the great teams in our restaurants and restaurant support center. Thank you for delivering outstanding hospitality and service to our guests.   Before I turn the call over to Michael, I want to provide a quick update on our Brazil business. As included in our earnings release this morning, we are reviewing strategic alternatives for our operations in Brazil. Although we are under no obligation to sell, discussions with interested parties are ongoing. This is a great business with an outstanding management team that has significant runway for future growth, which we believe warrants a strong valuation.   And finally, as you are aware, Michael Healy was appointed as our company's Chief Financial Officer last month. We are very fortunate that Michael is our CFO. He has had several increasingly important positions in finance, supply chain and general management that prepared Michael to be an outstanding CFO. Michael is a terrific executive, and I know you'll enjoy your interactions with them.   Before handing over to Michael, I want to take a moment to expand on the announcement of my retirement. When I joined Bloomin' Brands in 2012, my intention was to stay here for 5 years. While the opportunity to serve as CEO, followed by the pandemic extended that plan, the time is now right to begin the search for my successor. Discussions with the Board of Directors about the timing of retirement has been underway for some time, and they are leading the search.   I will remain in my role as CEO and Director. I will continue leading the implementation of our strategic priorities that are making us a stronger and leaner operation center company until the new CEO is identified and a successful transition is completed. The best day for Bloomin' brands are ahead with proven leaders at the helm of these great brands.   On a personal note, I have worked with several of you for many years and have enjoyed returning to restaurants and the opportunity to work with you again. Thank you for your continued support of Bloomin' Brands. And with that, over to you, Michael, to discuss our Q1 financial performance and 2024 guidance. 
Michael Healy: Thank you, Dave, and hello, everyone. I wanted to share how excited I am to work more closely with our investor community and help share our Bloomin' story. I would like to start by providing a recap of our financial performance for the fiscal first quarter of 2024. As a reminder, Q1 this year does not include the high-volume week of December 26 through December 31, that is included in Q1 2023. Additionally, we are lapping the Brazil value-added tax exemption, which affected both our revenue and profitability. Both of these have a negative impact on our results and impact comparability to last year.   Total revenues in Q1 were $1.2 billion, which is down 4% from 2023. This was primarily driven by a decline in comparable restaurant sales, which includes the negative calendar week shift in December. The negative weather impact in January, the net impact of restaurant closures and openings and the loss of the Brazil value-added tax exemption benefit that ended in 2023. The decline was partially offset by positive effects of foreign currency translation.   U.S. comparable restaurant sales was negative 160 basis points and traffic was negative 430 basis points. Importantly, this reflects a 230 basis point beat versus the casual dining industry on sales and a 160 basis point beat on traffic. After a difficult January, we saw sequential improvement in our performance. And for the quarter, we outperformed the industry.   Average check was up 2.7% in Q1 versus 2023. We are appropriately balancing delivering value to our customers while continuing to support the business in a period of higher inflation. Dave walked you through some exciting LTOs that will bring great value to our guests. From a consumer standpoint, we believe our pricing decisions compare favorably to other competitors in the industry.   Q1 off-premises was approximately 23% of total U.S. sales. Importantly, the highly incremental third-party delivery business was 13% of total U.S. sales, which was up from 12% in Q1 2023, driven by growth in catering. Our Q1 GAAP diluted earnings per share for the quarter was negative $0.96 versus positive $0.93 of diluted earnings per share in 2023. This is driven in large part by the loss on extinguishment of debt related to the significant reduction in our convertible note obligation.   Our Q1 adjusted diluted earnings per share was $0.70 versus $0.98 of adjusted diluted earnings per share in 2023. The primary difference between GAAP and adjusted diluted earnings per share is due to the loss on the extinguishment of debt as well as restaurant closing and impairment costs related to the restaurant closing initiative.   Q1 adjusted operating margins was 7.5% versus 9.7% last year. There are a number of factors contributing to the margin decline this quarter, and I will lay them out. First, there are approximately 110 basis points from the following events. The calendar shift in January weather negatively impacted margins by approximately 80 basis points. We traded the high-volume week between Christmas and New Year's or week in March, and the weather was 1.3% headwind on comparable sales in the quarter.   As discussed previously, we are lapping the Brazil value-added tax benefit, which cost us 30 basis points of margin versus last year. There were additional factors that also contributed this quarter. Inflation levels remained somewhat elevated and drove additional year-over-year margin unfavourability. Labor cost was up driven by wage inflation of 4.5% in Q1.   Other restaurant operating expenses were also up year-over-year, partially due to inflation and partially due to spending $7 million more in advertising this year. Depreciation expense was higher in Q1, consistent with our increased levels of capital spending and our investments in infrastructure to support growth. This was offset by favorability in food and beverage costs from pricing benefits and supply chain productivity initiatives. Commodities inflation was 1.3% for Q1.   Most importantly, we have a road map to maintain the margin gains that we have made over the past few years, even with difficult market conditions. Turning to our capital structure. Total debt was $952 million at the end of Q1. The higher balance is driven by the convertible note and accelerated share repurchase activity earlier in the quarter. We retired approximately $84 million of convertible notes, leaving $21 million remaining.   This significantly strengthens our financials by removing the variable share dilution underlying the convertible note. While our total debt levels are elevated compared to Q4, we are still very pleased with our leverage metrics and levels of liquidity. Importantly, we remain committed to being at or below our lease adjusted leverage ratio of 3x.   In terms of share repurchases, earlier this quarter, we entered into a $220 million accelerated share repurchase program agreement in connection with our previously announced 2024 share repurchase program. Year-to-date through the end of April, we have repurchased a total of 8.4 million shares of stock for approximately $233 million. This included shares associated with the convertible notes that we repurchased. We have $130 million remaining under our share authorization program. The Board also declared a quarterly dividend of $0.24 a share that is payable on May 31.   Now turning to our full year 2024 and Q2 guidance. We are reiterating our U.S. comp sales and adjusted earnings per share guidance communicated on our February 23 earnings call. We have updated our share count expectations to reflect the convertible note and corresponding share repurchase activity completed during the quarter.   Our adjusted diluted earnings per share guidance did not change, and we are reiterating the range to be between $2.51 and $2.66. The range provided reflected the uncertainty of the industry trends following the weather impacted January. Currently, industry trends remain on the lower end of our expectations and should they continue, we would expect to finish on the lower end of both our U.S. comp sales and EPS guidance ranges.   There are several critical factors to delivering on this guidance. First, we are very pleased with Outback trends to date and their ability to outpace the industry in this challenging environment. They have a stronger promotional calendar versus last year, especially in Q3 and early Q4. From a marketing dollar standpoint, we will begin to lap the marketing increase we started a year ago, and therefore, the increase will not be as large in the back half.   Second, the negative calendar shift experienced in Q1 of $0.06 is largely recaptured in Q4. Third, we pulled forward pricing decisions to earlier in the year, which we expect to increase the check average benefit by 100 basis points. We have seen improving trends in food and service execution at Outback, stemming from the investments in technology and operations. We have compelling limited time offers at Outback that will reflect our differentiated equities and stake in seafood, while offering great value for our customers.   Fourth, we are lowering our commodities inflation guidance from 3% to 4% to 2% to 3% as we are seeing signs of favorability in our beef program. We all know the beef market is somewhat volatile, but we are encouraged by the trends we are seeing year-to-date. Collectively, these actions strengthen our ability to manage through this challenging environment and continue to take share in the industry.   As it relates to the second quarter of 2024, we expect U.S. comparable restaurant sales to be flat to up 150 basis points on a comparable calendar basis. The industry continues to be a headwind. And while we expect traffic to be negative for the quarter, the good news is Outback continues to outpace the industry. We expect Q2 adjusted diluted earnings per share to be between $0.55 and $0.60. Importantly, the removal of the Brazilian tax exemption is a headwind of $0.12 in Q2 versus 2023.   We did want to share a critical update on tax legislation in Brazil. New tax legislation was recently passed by both the Brazilian House of Representatives and the Senate. If signed into law by the President, this tax legislation could be a positive benefit for our company in 2024 and into the future. We are still working through exactly what this means, including the impact to our financials. Any potential impact has not been included in our current guidance. We will provide updates when we know more.   In summary, we are successfully navigating a challenging environment and importantly, Outback is taking share. We remain focused on executing against our strategy in 2024. We will take the necessary steps to preserve our financial momentum, and we will remain disciplined in our capital allocation. And with that, we will open up the call for questions. 
Operator: [Operator Instructions] The first question comes from Jeffrey Bernstein with Barclays. 
Jeffrey Bernstein: Dave, congrats on the well-deserved retirement. You will be missed. Congrats on your new role. Absolutely. Congratulations. Two questions. The first one just on Brazil and the strategic review. I feel like it's been kind of on again, off again review for a while now. I'm just wondering what has changed with this review in terms of whether it's expectations or otherwise. And I feel like you were in the past maybe more hesitant to consider an actual sale because you wanted to retain involvement. So just curious, what has changed this time around relative to last time? Any thoughts there would be great. And then I had a follow-up. 
David Deno: Yes, sure. On the Brazil piece, it is a -- we'll still have governance, okay? So what the royalty rate will be and those kind of things are yet to be determined, and we'll take a look at what that looks like for the business.  Now as you know, before COVID, we had -- we looked at the possible refranchising here, and we've got pretty far along and then COVID happened. Now COVID is behind us. The Brazil business is in really great shape. They're growing quickly, and it's time to take a look to see if this is the right time to refranchise the business. Now it's a great business, and we don't have to sell it, but we expect the proper valuation for it, but we're taking an active look at it as we speak. 
Jeffrey Bernstein: Understood. And the fact that Bonefish in the U.S., it seems like those comps remain under pressure. And last quarter or 2, you said they don't necessarily have the right to grow at this point. I'm just wondering whether that was at all contemplated in terms of considering Bonefish within the Brazil strategic review. 
David Deno: No. Bonefish is a terrific brand. We've got some more customer work to do much like we did at Outback. We've got some product and service elements to improve. I think you're going to see that brand come back in same-store sales. It's not a priority for growth for us. It's something that we will continue to improve upon, and invest in, but it's not a growth vehicle for us. But where we have strong locations and strong situations, Bonefish does very well. So we don't have any plans to sell that business. 
Jeffrey Bernstein: Understood. And then just my follow-up is on the consumer environment. You mentioned a challenging industry backdrop. Obviously, that's the backdrop and you're taking share. So that's focused. But I'm just wondering, have you seen any change in consumer behavior in recent months, whether on traffic or mix shift, kind of how you -- what evidence do you have to demonstrate that there has been perhaps a slowdown in trend? Any color there would be great. 
David Deno: Thanks, Jeff, and thanks for the congratulations, although on my retirement, I must say I've got a job to do to lead the company and have a great succession and transition. So that's where my efforts are totally behind as we go forward. So on the industry itself, we're seeing a couple of things. One, as others have discussed, the lower-end consumer is -- we've seen some check management. You can see it in some of our attachment apps and stuff, and we can see it in some of our trends.  The more middle or higher class customer in casual dining is still hanging in there pretty well. Again, we can see that in some of our trends. Fine Dining is a little weak right now. But boy, that was really frothy there for a couple of years. So I don't think that there's necessarily anything wrong, shall we say in the high end. But I'd say on the lower end consumer is facing some pressure. 
Michael Healy: Yes. I'll just jump in to say, as far as Deno mentioned a little softness in mix, but it's holding up pretty good. I mean our mix impact is more revenue channel than it is the basket in the restaurant. So certainly softness in the traffic that's coming in the restaurant. But once they're in the restaurant, they're having a full experience. 
Operator: The next question comes from Alex Slagle with Jefferies. 
Alexander Slagle: Welcome, Michael and David, congrats. I want to echo thoughts there on all you've accomplished. Been remarkable through some uncertain years, as we all know. I wanted to just kind of ask on Outback and it looks like solid progress continuing. And as you look at sort of the top tier of stores in your systems that are driving the best traffic growth, and I mean what are the commonalities in learnings from that group of stores? And what really stands out? Is it like the manager and staffing tenure or trade area differences? Or I'm just kind of curious what you see and which attributes you're able to move the needle on at the underperforming restaurants versus some attributes that maybe are not easily replicated. 
David Deno: Yes. We're very pleased with the trends at Outback. I think what we're doing is really paying off. And we've talked about that going forward, too. We talked about the work we've done. But if you look at where we do well, A, we have a great market presence, right, in the Southeast, especially Florida. So we've got good trade areas, good presence. We've got refreshed assets. We've got tenured partners that are leading the restaurants over a long period of time.  And you look at other parts of the country like the Mid-Atlantic, where we've had a really long tenured, really terrific group of people running those restaurants, and we've got good scale up there, you can clearly see the difference. And our job is to make sure we bring that to all parts of the country and some locations that are underperforming right now. But overall, when we look at the work we've done on the customer, when we look at the marketing stuff, the marketing programs we've been doing at Outback, and we look at the improvement in operations. When we look at really being irreverent and no rules, just right. When you look at those things that we're trying to do to drive traffic at Outback, that's paying off, and you're going to see more of that from the company going forward. 
Operator: The next question comes from John Ivankoe with JPMorgan. 
John Ivankoe: David, was great to have you in the industry for so long, but most importantly, I hope the next chapter is a great and fulfilling and fun one for you. The question Outback outperformance relative to the casual downing category, but I'd like to kind of drill in a little bit about your performance relative to your near and steak competition. I know sometimes hard data to kind of get, but like, listen, I mean, there are public companies that are out there, and you see their traffic. And when you survey consumers of why you're choosing brand X or Y over Outback, what is commonly coming back to you in terms of that consumer preference? And are there any learnings from competition? I know it's not always ideal to talk about, but are there any learnings from competition that you can directly apply to the brand to maybe allow you, your Outback brand to perhaps perform in line with some of your near-end peers? 
David Deno: Yes, absolutely, John. I won't speak to any specific numbers, but I think Outback is closing the gap versus some of the competition, but I'll leave it at that. Everybody sees the numbers. First of all, what do we see that we can make sure that we learned from, right? And also, what we have with our Outback heritage and what we control. But it's the best-in-class operations, right? It's the value that we provide our guests. And there are things that we can do to -- on the menu to provide even more value for our guests at some great price points.  Making sure that we have a great experience, consistent execution in our operations day to day to day, and we've been talking about in my remarks, John, some of the products that we're making against the industry in our operations. And then finally, continuing to upgrade our assets. So consistent execution with a great experience with value coming and great service, but also some products that are really terrific that offer great value and continue to upgrade our assets. That's what we're trying to do. And I think we're going to be continuing to close the gap. 
John Ivankoe: And could you remind us where we are in terms of editing down the menu, simplifying the menu, the menu may be a little bit more focused? Has that begun to go into the system overall on a test basis? And just give us a sense of how much actual opportunity that you may have, I guess, to use a simple phrase, being better at doing fewer things. 
David Deno: Yes. Before COVID, we -- I can't remember the exact number of menu items, John, but I think before COVID -- after COVID, we were down probably 15%-ish in the number of menu items. We're looking at that right now to see if we can make things simpler for our guests. I'm not going to get into for competitive reasons, some specifics as far as the number of items that we may be looking at and things. But I think if we continue to look at what really drives the business and the menu items that we can edit.  Now having said that, you probably will see from us some new menu items that are really terrific that offer tremendous value to [indiscernible] the customer. Again, I don't want to get into that, but you'll see potentially some more edits to help with operations, but also potentially some add-backs to really address some value and abundance opportunities that we have. 
Operator: The next question comes from Sharon Zackfia with William Blair. 
Sharon Zackfia: Going back to kind of what we're hearing throughout the industry on the lower-income consumer. Are you seeing the consumer that's more mid- to high income actually increased traffic year-over-year? Or is it just kind of better than what we're seeing at the lower end? And are you also seeing -- it sounds like you're seeing the more affluent customer kind of hold check and not kind of mix around on their ticket. I just want to confirm if that's the case because we're also hearing talks of kind of more normalized alcohol consumption across the industry. 
David Deno: I guess the best way to describe our middle and higher end customer in casual dining is the word hanging in there. I think it's -- the trends are pretty consistent from what we see. And as I mentioned, it's more of the lower end that's experienced some difficulties. On menu mix and alcohol, I haven't really seen anything really change that much in it. And our mix there, as Michael alluded to, we don't really see much mix and decreases in our alcohol mix. 
Michael Healy: Yes. Our mix is relatively stable across all of the basket items, so that piece is encouraging. 
Sharon Zackfia: And then on Brazil, and I apologize if you addressed this, my cell cut out for about 2 minutes. If you do sell it or refranchise it, what would you use those proceeds for? Are there any strategic initiatives that you'd like to accelerate and use that cash flow? Or would this primarily be something where you would look to return value to shareholders in terms of dividends or share repurchases or what have you? 
David Deno: Yes. I think that's for another day when we decide and if we have an offer that makes -- that's interesting to us. But needless to say, it will provide significant cash allocation opportunity for the company going forward, whether it's some debt buydown, paydown, whether it's some share repurchases, whether it's anything we want to do to address some of the things in our U.S. business, those are all great options for us. And I think that's to be addressed when we see what comes together. 
Operator: The next question comes from Brian Harbor with Morgan Stanley. 
Brian Harbour: Congratulations to both of you. I want to echo those sentiments. Just I had a question more on the margin side as you think about 2Q. And I guess as we kind of think about putting the pieces together for the full year, is this more of -- would you expect kind of still a significant change in labor and kind of marketing costs? Are those some of the pressures that you would still expect on a year-over-year basis in 2Q or anything else we should keep in mind just as we think about margin progression this year? 
Michael Healy: Yes. From a margin perspective, we certainly still have the Brazilian tax exemption component, which cost us 40 basis points year-over-year. Other than that, we'll be up a little bit in depreciation as we continue to invest in our restaurants. COGS will be similar to Q1 will be favorable. Labor pressure is going to continue. That's been pretty sustained. We would expect that to be similar to Q1 for the remainder of the year. And as you mentioned, with advertising, we were up $7 million in Q1. We'll be similar to that in Q2, maybe a little less, and then it should start to flatten out in the back half because we started to increase our advertising in Q3 of last year. But we have the road map to continue and maintain our margins even in a difficult environment, but that should give you some color. 
Brian Harbour: And I think you mentioned pull forward of some pricing. Was that mainly at Outback? Is it across the brands? What's the timing of that? 
Michael Healy: It's across the brands. And so it doesn't get pulled forward in one large chunk. So it's sort of kind of just evenly spread out through the back half. 
David Deno: One thing I've got to mention a little bit is one thing I'm particularly pleased about is achieving these results with modest pricing increases versus others in the industry. And that gives us -- A, improves our value equation and B, it gives us dry powder in case we need to do something. But I'm very pleased that we maintain that discipline. Given the beef back is such a significant part of who we are, we always take as little pricing as necessary, but obviously, also have to manage that inflationary environment. 
Operator: The next question comes from Sarah Senatore with Bank of America. 
Sara Senatore: I wanted to, I guess, a follow-up on that, your comment about pricing and then a question. The one about the pricing, I know you said you pulled forward pricing even though you've lowered your commodity guidance, I understand that your views you've taken less price than competitors. And your insights on that is probably better than mine. But do you -- I guess, as you think about taking more -- or pulling forward price when commodities are disinflating, what was, I guess, the thought behind that and the idea of maintaining your relative value? And then like I said, of another question, please. 
David Deno: Yes, we do a deep look at value whenever we look at our pricing and our mix, and we're in really good shape there versus competition, and we made a lot of progress in value. We still are a B centered basuket here at Bloomin' Brands, and so we have to be -- always watch that. But we've tried to be extremely careful and extremely modest on any pricing that we're doing. 
Sara Senatore: So it's just more of a timing issue? 
Michael Healy: Absolutely. Yes. The pricing was contemplated. I think we just pulled it forward a little bit earlier. But to Dave's point, it's always something that we study very deeply to understand what's the little amount of pricing we can take to continue to support value with our guests. But we have other ways to drive value with our guests, whether it's our compelling LTOs. And obviously, Dave spoke to some of the improvements in the guest experience at Outback. And so that certainly contributes to the overall value for us. 
Sara Senatore: Got it. And the decision to pull it forward was that based on anything specific? 
David Deno: No. Just as we looked at the year, the forecast and everything, we just tried to make sure that we have commitments out there. We're just trying to manage them the best we can. 
Sara Senatore: Okay. And then a quick question on the consumer, and I know we've talked to this at length. So is the low-end consumer -- is that consumer doing worse or spending less? I mean it feels like that's been something that, that dynamic has been in place for the better part of maybe in the last 2 years. So as you think about softness in the industry versus expectations, is there some kind of sort of measurable change? And to that point, I always think of your average consumer as having higher income than the country as a whole. So is that low end consumer a meaningful part of your customer base? 
David Deno: Yes. It's not meaningful from some other concepts, but it is a part of our business. So we have to watch it. But yes, there has been somewhat of a pullback on the low end in our company, in our concepts. We still see really strong demand during special occasions around the holidays and things like that. So people are still celebrating at all levels of the income stream, income status. But I think we have seen some slowdown in the low end like we talked about earlier today. 
Sara Senatore: Even sequentially versus maybe what you saw late last year or sometime last year. 
David Deno: It's been pretty consistent. It hasn't really -- there hasn't been a dramatic change. 
Operator: The next question comes from Lauren Silberman with Deutsche Bank. 
Lauren Silberman: I also share my congratulations. I wanted to ask about the earnings guide. 2Q came in a bit below Street. You're maintaining full year. It looks like the back half guide implies EPS is more heavily weighted in the back half of the year than what would normally be expected. So can you just expand a bit more on just what's expected in the back half of the year in terms of cadence? 
David Deno: Sure. I'll take the first piece, and then I'll turn it over to Michael. But A, outperformance of Outback versus the industry. Clearly, we expect that to continue. We've got a stronger promotional calendar at Outback, especially in Q3. And therefore, it compares both from a sales and profitability standpoint in Q3 and Q4 are much easier. And as we look at it for, we've got our guest experience work that we continue to make progress on, and we expect to see -- help us continue to take share as we move forward, especially at Outback.  So those are the things, from a sales standpoint, be it our experience, be it some of the marketing programs we have, be it some of the softness from last year that give us confidence about our guidance on the sales side. 
Michael Healy: Yes. There are a few things as we think about the full year guide. Our check average, we shared -- we updated our guide on the check average to 3% to 4%. Commodities, now more favorable to 2% to 3%. We still have $50 million of productivity layered into our plan. The marketing spend, the first half is heavy, and we start to lap that in the back half. So it starts to get relatively in line.  And then from a calendar shift perspective, we lost the benefit of the weak shift in Q1, and that was roughly $0.06, but we get that back in Q4 or almost all of that back in Q4. So that certainly kind of helps think about the first half, back half. And as well as, Dave, you mentioned the continued strength at Outback gives us a lot of confidence. And in fact, all of these items give us collective confidence that we can achieve our full year end guide. 
Operator: The next question comes from Brian Mullan with Piper Sandler. 
Brian Mullan: Question on Carrabba's. You've seen some relative outperformance from that brand in recent years. Maybe you could just talk about the strategy for this year, your degree of confidence that this can continue? And if you could talk about the off-premise business and the dining room business separately, that would be great to get your thoughts on that brand. 
David Deno: Well, Carrabba's has done a great job in sales, be it the off-premise business, especially. As we know, that food form is  especially conducive to the off-premise business. And the team has done a really terrific job addressing that piece, for catering, delivery, carry out, et cetera. The team will tell you that we've got more work to do it in restaurant dining. We've got more trends in front of us that we need to pursue, also improving the guest experience. They've had some extremely successful wine dinners at Carrabba's, and we've rolled lunch that is having a lot of success in the brand.  So I'd say that from a Carrabba's standpoint, you've got a strong off-premise business, you've got lunch being rolled out with their sandwich line. We've got some successful in-restaurant initiatives around their wine dinners. Now lastly, we talked at length on prior calls about the productivity investment that we made at Outback kitchens. We've got the same thing available to us in Carrabba's. In fact, I'd argue Carrabba's is one of the most complicated kitchens in the industry.   And so right now, we've got about 15% of our fleet has new kitchen equipment, and we're seeing significant savings in utilities and prime costs to help drive that business. And that's a big element of productivity for us this year and importantly, into 2025. So those are the factors that we're seeing in Carrabba's and we'll see if all that warrants further expansion of the brand as we go forward. 
Brian Mullan: And then just on the portfolio of stores in the U.S. broadly. With the 2023 closure initiative now complete, my question is whether or not you think -- would there be any future closure initiatives you'd consider? Or has everything really been addressed now at this point, you think? 
David Deno: We've done a great job over the years managing our portfolio, and I would expect that we won't have more to do, but I think that we always look at our assets, we always look at where they're located. We always look at things, but we've done a great job being proactive on that over the years. 
Operator: The next question comes from Dennis Geiger with UBS. 
Dennis Geiger: Congratulations, David and Michael. You talked about the 3 LTOs, which I would consider at compelling price points. I think, David, you spoke a few times to some value add backs coming. So I just wanted to ask a little bit more on promotional activity. If anything more on sort of how you're positioned on value and whether the need maybe to increase promotional offerings, if that reflects the current consumer backdrop, if it's relative to the observation that the broader casual dining industry is leaning in more on value if it's both, if it's other. Just any additional thoughts there. 
David Deno: Yes, sure. I think what we've done is with the last 3 LTOs at Outback have been really great and because it offers tremendous food at a great price point. And you're going to see that from us going forward in future plans. I'm not going to give the details of what they might be, but that's something that has worked for us.  On the menu front, we think that we've got some opportunity, like I mentioned earlier on the question from John Ivankoe, is there more opportunity to maybe simplify the menu a little bit more? Don't know for sure. And then there are an opportunity to put some really interesting Outback high-quality products on the menu that are very indulgent that offer great value, and we're working through that right now. That's how we would go about it.   And then lastly, as this speaks to the industry, yes, we've seen an increase in promotional marketing activity. We need to respond to that, but we tend to do it in our way, especially at Outback. We don't expect to do any broad-based deep discounting or special promotional office and things, but we will be offering some value-centered LTOs that make a lot of sense for the brand and consistent with the brand heritage. 
Dennis Geiger: That's great. And then just I wanted to ask on Brazil, if anything incremental to share sort of on performance in the quarter, the consumer backdrop, anything impacting results for the quarter itself. And then if there's anything incremental on sort of the state of, I guess, maybe the capital markets environment in the country or anything else to add on thinking through as you think for the strategic review, the conditions in the country right now? 
David Deno: No. Brazil continues to take share, do extremely well. The only thing we had to do in Q1 last year was the World Cup was in December in their quarter, they had an unbelievably successful promotion. And we've had a little bit of horrible timing this year. But overall, the brand continues to do really well. I think the industry there is like the U.S. is seeing a little softness, but importantly, we are taking share.  As Michael mentioned in his prepared remarks, there was tax -- there has been tax legislation that has been approved by the Senate and the House. We don't know what's going to happen with that tax legislation. If it does get signed by the President, and once we understand the regulations, there could be a financial upside to the company, but that is not contemplated in our guidance. 
Operator: The next question comes from Andrew Strelzik with BMO. 
Andrew Strelzik: My first one, I wanted to ask about the operational improvements at Outback that are contributing to the share gains there. Are there any metrics that you can share to kind of frame the improvements that you're seeing? And where are the gaps that remain, I guess, on the path to your goal of being a best-in-class operator? 
David Deno: Yes. I think we clearly have seen it in steak re-cooks and food quality, #1. Steak accuracy has gone up 500 basis points versus past trends, and that has been a direct result of the investment that we've made in the kitchen. I'm very, very pleased about that. Consistency of experience is up 400 basis points. So serving a hot meal on time with great service is -- remains the most important thing we can do at Outback Steakhouse.  Now where are some of the gaps? What I'd like to see us do is there more that we can do to maybe enhance our service and enhance the guest experience. We don't think it will take a lot of money to do that, but how our servers interact with our customers and things like that. There might be some ideas there, which I won't get into, but there might be some things that we can look at to be more interactive with our guests at Outback while serving the food in a hot, quick manner that our guests have come to enjoy. So those are the things that we're looking at, at Outback. I'm very pleased with steak accuracy being up so much and consistency of experience being up so much. 
Andrew Strelzik: And just my second one, I just wanted to ask about the commodity inflation outlook. With about 1% in the first quarter. I think you said favorable again in the second quarter would imply a little bit of a ramp in the back half. What's your visibility to that? And is it all beef? Or is there anything else kind of within that driving the acceleration if I'm right? 
Michael Healy: No, you're right as far as kind of where we land in Q1, we'll be maybe a little bit better in Q2. And then we do experience a ramp in the back half. A lot of that is actually driven by seafood. As we burn through some deflationary inventory, we actually come upon inflationary inventory in the back half. Beef itself is relatively stable as far as how we plan for the inflation. However, as we mentioned and when we lowered our commodities guide, we are seeing some favorability in beef that we can take advantage of with our current contract. And how we reflect that favorability is a little bit TBD based off of the market, but directionally, we will see an uptick in commodities in the back half. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dave Deno for any closing remarks. 
David Deno: Thank you very much. We appreciate the questions today. And I personally appreciate the kind words. It means a lot to me. But I want to invite everybody back for our Q2 call later in the year. Take care, everyone. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.